Jesse Fittipaldi: I'm Jesse Fittipaldi. Welcome to Arcimoto's Q3 2022 update. In conjunction with our restructuring plan, which has decreased our overhead considerably, Arcimoto continues to demonstrate quarter-over-quarter increased sales and reservations, showing a path towards profitability. We have focused our efforts on the FUV and the Deliverator and continue to deliver a product that is ultra-efficient, fun and cost effective to customers. Our customer experience team has had their best quarter ever, demonstrating that our funnel, which includes ads, customer finance, test drives, rental, sales, delivery and service, is working. We're going to meet with Founder, Mark Fromyr. But first, I met with some of the executive team, and we discussed how we've achieved these accomplishments. I want to start with Lynn Yeager to share some of the great news that we have with customer experience.
Lynn Yeager: Thank you, Jesse. I'm excited to share, as we started this quarter, we shared last quarter that we went in going in with 41 in backlog. We ended up delivering 74 vehicles on the quarter. We have 48 in backlog going into this quarter as well. One of the things I want to note around that is what we're seeing is 20% of our sales actually came from rental leads. This last quarter, we had a significant increase in our drive to order conversion, whether that be from a demo drive at an event or from renting a vehicle. We are still able to pace a nice conversion at a 5% conversion this last quarter even with significantly increasing our volume. So we actually had a 111% increase in our demo drives and rentals this last quarter, which has been great. We had close to 2,700 drives. We hired ownership advisers that have just started this last quarter to really focus on individual customer experiences to ensure that we're able to have that one-on-one time. And we have also done a lot around our advertisement and engagement and storytelling through social channels, through our advertisement campaigns, through a variety of different engagement tools that we have. We've implemented a really great CRM program so that we can understand customer behavior, target the right audiences, making sure that we're focused on the customer that's really ready to move forward as we sort of nurture some of those newer leads that we're having into the data base.
Jesse Fittipaldi: And we implemented customer financing on our vehicles, and it's something that folks have wanted to see for a long time…
Lynn Yeager : Sure. I'm excited about our relationship with Freedom Financial Road. We have other options that people can use for third-party financing. However, they've been a really great partner. They have very flexible terms, up to 84 months. Flexible payment down. We are also running at 1.99% special on rates right now. The two biggest things for people to move forward with the vehicle purchase of any kind is being able to pay for it and also making sure that they've driven it and they love the experience, especially when it comes to a three-wheel vehicle, this is not something that anyone has necessarily experienced before. And so it's really hard to sort of envision what that ride is going to be like. As many videos and pictures as we can get side to people, it's just not enough. And so I think it's important that we make it really easy for the customer to purchase the vehicle and experience a vehicle. And that's what we're really focused on right now in our engagement
Jesse Fittipaldi : Lynn, I think probably the most exciting part of Arcimoto's story right now is how your team has increased our reservation quarter-over-quarter. Can you go into some detail on that?
Lynn Yeager : Yes. So this last quarter, we had an 80% increase in delivered vehicles quarter-over-quarter, which was a very significant quarter for us. It was also our largest delivered quarter that we've ever had as a company. So I think it's important to know. And I see chatter out there and questions about our volume. And I think it's important to know that this is our first kind of full year of full production in our new facility past our first adopter deliveries and really looking at how we scale the demand and how we reach all of our preorder customers as well as new customers in our funnel. I also think it's important to clarify what our backlog means. So backlog means these are hard non-refundable orders that were going into the next quarter that we are planning to deliver. This last quarter, 89% of those vehicles in that sort of non-refundable state, delivered. The previous quarter was 95%. So as we scale, we'll see that shift a little bit. However, that's not necessarily just the preorder backlog, which is a different funnel altogether. Those are really kind of hot leads, like obviously, it shows some level of interest and seriousness to purchase. However, we're really looking at what is our hard sales that we're delivering on and how do we increase that funnel as we go into the next quarter ahead.
Jesse Fittipaldi : What tools have we put in place that have been helping you guys convert customers. And also give us more insight on who our customers are?
Lynn Yeager : So our CRM program that we put into place this last quarter has really helped us understand consumer behavior. We have a pretty healthy database of people that are interested and fans of the brand, investors, people who are past rental customers, people who want to sign up for our newsletter understand what we're all about and what we're doing. However, most of those people have not experienced a vehicle. We take the time to understand the customers. We can prioritize people differently based on what their timeline looks like, if they want to drive now, if they've already driven, if they're looking to get out of a vehicle before they purchase a FUV, if they live in a state that we're not open in yet and how do we keep them engaged until we open that state. How do we engage this new audience of the new states that we just opened since most of our efforts have been focused on the West Coast states, prior. So really looking at how we can be very strategic with how we reach our customers and how we create curated experiences depending on their interest in our products.
Jesse Fittipaldi : I think the part of the funnel that I've been most impressed with is the backlog of people who have applied for financing and the backlog of people who have requested test drives. It seems like that's a different type of customer, right? The customer that's at a show and sees an Arcimoto for the first time, and we're doing our butts in seats campaign, and they rip around and we get their information. They're a certain type of lead. But somebody who's reaching out to Arcimoto and saying, I want to try this vehicle because I'm somewhat interested in actually purchasing it. I think that's an incredible backlog that you guys have created. Lynn, another part of our business that's key and something that is a market opportunity for Arcimoto is our rental campaign. Can you go into detail about how that's doing right now?
Lynn Yeager : Happy to. We had a really great quarter last quarter in rentals. Quarter-over-quarter, we almost tripled our revenue in our rental partnerships and programs that we have. And then we more than doubled our rental volume quarter-over-quarter. And I want to actually talk a little bit about rentals because there's a lot of questions about rentals and our strategy. And not a lot has changed from our strategy from three months ago to now, and I want to kind of do that again, just talk through restructuring our rental program and looking at the heavier OpEx programs or pilots that we've done and kind of shifting those around to asset-light partnerships and programs, looking at channels for partnerships that really have established businesses that we can leverage their reach and also their expertise within that industry, looking at our own operations. For example, we opened Hawaii, August 20 last quarter. We're kind of getting our sales license as well and really wrapping up the experience on the island. And that's a really great opportunity for us as we look at expanding within the island and our engagement there. And what we're really seeing not only is it driving sales for us, it's driving brand awareness for us. It's a really great approach for us to be able to use it as a marketing channel as well as an experiential channel. So our goal is to not only have a revenue stream coming for rentals as we sort of rightsize what those partnerships and programs look like and have it have its own entity of a revenue stream, but also leverage it for sales as well as brand awareness and engagement. And so we're really seeing that start to take off in the programs that we have currently. And then as we look at where we go for new markets, those are things that we're considering as well.
Jesse Fittipaldi : What's the percentage of people that participate in the rental that end up purchasing of a vehicle?
Lynn Yeager : So last quarter, we had 20% of our orders came from rental leads and we talked a little bit about the lag time as far as experience to order. And so there's a range of people. So people do order right of way. Some people, it takes a year. Some people, it takes four to six months. So on average, we're seeing like kind of this four to eight-month time frame from when you first experienced the vehicle to when you may even move forward and actually make a purchase. So right now, year-to-date, we are converting about 6% of those into orders on average as a rolling average. But as we continue to grow that funnel, normally, that would start to come down a little bit because you're rightsizing a little bit. But we're still seeing that pace correct and the same, which is great. What we're trying to focus on is how do we nurture those customers after they had an experience. Do they live in a market that we actually sell in? How can we reach them again for a follow-up demo drive? Have they actually explored purchase opportunities versus just like a fun vacation experience?
Jesse Fittipaldi : I think what's really cool about a place like Hawaii, not only is the experience going to be amazing for somebody to rip around the island on an FUV but it's where all of those people come from. So you're touching people from all over the United States that go on vacation with their family and that -- having that place, it's a focus of the population of the U.S. experiencing the FUV. I think that's just a massively efficient way to get people to try it, look at -- super looking forward to seeing how Hawaii pays out this year.
Lynn Yeager : To your point about expansion, we're also super excited about our recent announcement of adding the Royal Sonesta as a partner on Kaua'i. Kaua'i is a very special island. And I think it's a really great way to experience the island. There's basically just one road. And Hawaii in general is very focused on sustainability and moving people towards the right direction around electric vehicles and rightsizing transportation. And I think the community is going to be very excited about seeing our experience on the island, looking for different ways that our vehicles can apply within the community in addition to just the recreational experience that people can have to explore Hawaii. So we're really excited. Royal Sonesta is very excited. And so we look forward to that partnership starting this next quarter.
Jesse Fittipaldi : Royal Sonesta looks like an amazing place to go experience Hawaii.
Lynn Yeager : It's a truly, beautiful, special place. It's also at a really great location, so they actually have transportation from the airport, which not many resorts do because they're actually based in Lihue. And they're in a great location from a range perspective to go to why Waimea Canyon and go on to the South side or actually be able to go in the North Shore really easily and kind of go back and forth between the two. And jump in his shuttle and go to your hotel and then take a puff for the day. We've learned a lot in the last year, really in the last eight months has been most of the partnerships that we've launched or pilot programs that we have launched. I think the biggest -- heaviest as part of our operating expenses has really been in the weight of our -- size of our fleet because we've been testing things, giving people vehicles, seeing how something works, what doesn't work, then moving them maybe to another partner to test that out, and just trying to understand which markets are going to be most viable. Do we have partners that understand how to engage their market and the experience for that tourist or even the local community? I think it's really important to note that we have some really great partners that are doing very well. What I mean by very well is their utilization rate per vehicle.  So looking at our partner. We've had Susie's Mopeds in San Juan Island. We've had a small fleet of four vehicles and then we added two more to have six, getting 70% to 75% utilization per vehicle every month during her season shows a really great net revenue coming through even after the operating expenses. It's super asset-light and that sort of a partnership is what we're looking for to sort of replicate in different markets. And then on the flip side, you're looking at our owned and operated, leveraging that from a more holistic experience within our centers. So whether you're coming in to do a demo drive or to rent, or you're just coming in because you see a sign you want to know what we're all about. If you signed up to learn more about our financing, you're coming in for an appointment there. Or you're taking delivery of a vehicle. There's a lot of fluidity between demo drive and rental and ownership and we're trying to sort of blend all those lines together, so that you have a really great brand experience.
Jesse Fittipaldi : The numbers that I've seen for these rental operations that work. I'm really excited to see scale those programs and see what that does for us next year. Next, we have Terry Becker. Do you want to talk about the strategic restructuring plan that we've put together here recently?
Terry Becker : Several things have caused us to rethink our structure and the way we build the vehicles that Lynn is doing a great job of increasing sales with. Everything from the way we source the materials, bring them in, monitor the quality of those materials to the way we move those materials around within the factory as well as the balance of inventory that we keep on the shelves. All of those things are areas that we've definitely learned along the way how we can do better. We're coming through the fog of a pandemic that caused everything from chip shortages to shipping problems. But without using that as an excuse or dwelling on that, what I'd like to think is we are learning from that, what we can do better, what we can do to hedge our problems that come from those kinds of areas. And sharpen our tools within our own walls that actually enable us to be more efficient, more able to react to surprises and be able to accomplish the goals of building vehicles as they're configured, as they're sold and get them out the door efficiently. So that's the restructure. Overarching goal there is to learn from what we've had in our past, implement some improvements and sharpen our tools.
Jesse Fittipaldi : And then another philosophy that we've kind of brought into the company that we were using before that has changed, which is this idea that we should build a factory that has a certain production capability and drive our planning based off of a number of vehicles that we've built. And I think what we've done really well here in the last quarter is to kind of change that philosophy and say we should really have sales driving our production goals. And so to see Lynn's team showing that velocity starting to match the production goals, and you can start planning to that, that's probably the biggest improvement that we've made from a planning standpoint to our Acrimoto, I think.
Terry Becker : To what you just brought up, though, on what are we doing differently with inventory levels, planning of what we need to bring in, the timing of when we need to bring it in, how much we need to bring it in? That is a refinement of our methodologies that we're able to do now in a pretty good way because of the fact that we are doing what you just referred to, and that is don't just plan for X number of vehicles to be built but plan according to what is selling, what is immediately needed, take into account things that will be changing. Engineering changes, changes to the vehicle. Don't get ahead of ourselves or over our skis when it comes to being efficient with what we buy, what we bring in, what we stock on the shelves. That's one of those refinements that we're really focusing on right now with this restructure, and I believe it's going to pay off quite well.
Jesse Fittipaldi : Awesome. Me, too. Dwayne, how's it going? How is Arcimoto refocusing its efforts right now, both in product development and current engineering programs?
Dwayne Lum : Let's say probably the biggest thing is that everybody now knows exactly what they're working on. And one of the things that we started to do when I first came here was to put specs in place for everything that we were doing. It's critical for those that don't know, we develop things called VTSs, vehicle technical specification. That lets engineering and development teams know exactly what they're working on, whether they're working in concert with each other or whether they're working in a silo on a particular function of the product. The VTS is the guiding principle for the product. We've done that for all of the products in our family and some of which have actually not met that requirement as of yet. Market inputs have dictated changes to them or what have you. But the focus of the team is really they know what markers they're going towards. They know what time frames they're driving towards, and they know the tiering of the features that we're going after. So on a bigger picture, the focus is all around meeting the company's objectives of delivering great products, be they to the consumer, to the fleet customer, first and foremost, on the product that we're shipping today and enhancing that and moving forward. Other programs that we had underway have not been set aside, they've just been relooked at through that new lens of do they need a market acceptance criteria? Do they have a target specification that we can develop towards and meet or exceed? And because we do get good feedback from a lot of different sources, we get them through social media inputs, we get it through direct conversations that we have with customers, whether it's at a rental center, whether it's at a ride and drive event, we hear, and we're listening all the time for what people are asking about. And because of that, we took our engineering teams, and we kind of broke them up to focus on those chunks of our product line. So some of our products needed more attention. And that's the ones that we're shipping today. That's the ones that are generating the revenue for the company. And so because of that, we put more muscle and effort behind those activities. We really wanted to get a better customer experience, particularly coming into the back half of the year to cure some of the quirks that we had in the product but also improve some of the functionality. And that was going to let us go after both consumers as well as the new fleet opportunities that we were working on. We heard directly that the delivery needed to have some updates and wanted to have a little bit more unique square packaging. So we did focus on those kinds of things. We heard that people wanted to have an easier experience using the product at a rental center, starting it up, checking out, getting going on the road. So all of that led to the key initiatives that we took on. Some of the ones that we had underway as well, we had to put on hold because priorities took place. And the focus on that actually is going to lend us quite nicely moving into next year because we already have model year 2023 changes currently right now being cut over. So by the time January production starts, we will have a brand-new set of features into the product line. We'll be sharing those later in the quarter and fourth quarter. And hopefully, they will excite a bunch of our new customers as well as some fixes that we're putting in place for existing customers.
Jesse Fittipaldi : Where are we at with torque vectoring? And are there challenges there? Or what are we seeing from a design standpoint?
Dwayne Lum : Well, there was a couple of approaches that we took. I think in the summertime, we showed some suspension changes and some things that we were working on. We showed the software changes that were happening also and then we're under pilot and testing. And one of the things that we realized was that we thought we could solve this and blend two things together. And we took a different approach to try to find a mechanical solution because that was going to provide reliability. It was going to provide confidence to our operators, anybody driving an FUV. And as a result, when we put that into practice, we tested it out, and we're very happy with what we came up with, a brand-new solution that will cut over for the next -- into next year. It will be -- a variant of it will be upgradable on today's existing customers' products as well, reduces steering effort to -- by about 40%. So it's quite a different feel. And for those people who have tested it out, we've had a resounding yes from them as far as the responsiveness of the product.
Jesse Fittipaldi : Is the torque vectoring software, did it have challenges? And is that -- are we going to pause that?
Dwayne Lum : We are pausing it temporarily right now so we can get some longer-term testing on it. We did receive a good release candidate that we could put into long-term test. But because of that, safety aspect of steering in the vehicle, it's very critical. We wanted to ensure that we got a lot of miles on it and worked out all the potential scenarios that we may come across. And we can't always do all of those different terrains or road surfaces here in our own backyard in Oregon. So we need to get some additional road miles in other places, and we've got a schedule plan to do that.
Jesse Fittipaldi : That seems smart. So we're taking the time to make sure we're releasing something that's good for the customer.
Dwayne Lum : Yes.
Jesse Fittipaldi : Okay. Great to hear.
Lynn Yeager : Can you provide some guidance for our customers on next steps for MLM and what sort of timelines you can be looking at for that product?
Dwayne Lum : Sure. And Lynn, as we've been talking about, we've been working hand-in-hand to try to figure out the best way to bring this product to market. And so I would think in Q1, we're going to be able to put some information out to the general public about the product readiness and product availability. It may come in the form of something limited edition in the first set of back half of the year next year, but we may -- because of just prioritization but our customers will be the first to know, and your team will be the first to announce it to everybody. When we do announce that, we intend to have a couple of different variances of performance in the product. So we will also have different tiers of pricing available to people. So our goal would be to make it available to as many people as possible as affordable as we can.
Jesse Fittipaldi : All right. Dwayne, thanks for the update. That was really good. Great work out there. And next, we have Doug Campoli to go over the financials.
Douglas Campoli : Thanks, Jesse. We've had some really exciting news in the third quarter with record unit sales and record revenue. In the third quarter of 2022, 150 FUVs were produced, a 47% increase over our previous quarterly record. 74 were sold at an average sales price of $22,428. 11 were deployed into marketing and other company use and 46 were deployed into rental operations. Tilting Motor Works sold 16 units with an average sales price of $12,707.  As of September 30, 2022, there were 474 happy customers on the road as brand ambassadors. We now have 144 FUVs in our growing rental fleet available for revenue generation, along with a total of 90 FUVs allocated to marketing, R&D and internal fleet use. We have had a lot of variability in production and revenue quarter-over-quarter due to supply chain and recalls. The recovery from the first quarter 2022 move to the RAMP has been pronounced and reflects the improvements sales and marketing processes. Third quarter revenue increased 35% year-over-year. Even with production shut down for most of the first quarter during the move to the RAMP, year-to-date revenue increased by 16% compared to the same period in 2021. Tilting Motor Works third quarter revenue grew by 95% compared to the same period in 2021 and accounts for over 18% of total year-to-date revenue. Rental started gaining revenue traction in tourist locations, but we expect a decline in the winter months. We expect continued revenue growth across all reporting segments on an annual basis. We generated negative gross profit of $5 million in the quarter. However, cost of goods sold as a percentage of revenue has decreased sequentially in each of the last four quarters. The main driver behind the year-over-year increase in COGS is increased production volume and increased overhead as we build the infrastructure to RAMP production. Year-to-date, the FUV average sales price was $22,348. And average COGS, excluding manufacturing overhead, was $21,400. As we ramp production and continue to increase efficiencies in our manufacturing process, we anticipate leveraging our fixed cost structure to drive improved gross profit per vehicle. Year-to-date, Tilting Motor Works has had an average sales price of $12,197 and an average cost of $9,454, which is a 22.5% margin.  Operating expense also increased as we built out the infrastructure for higher production volume. The three main drivers of this increase were: one, increased headcount; two, increased sales and marketing efforts; and three, increased research and development spend to reduce the per vehicle cost of the FUV, develop new products and scale production. We ended the quarter with approximately $4.2 million in cash and cash equivalents. Year-to-date, September 30, 2022, net cash received from the sale of equity was approximately $26.5 million. Cash from the issuance of debt consisted of approximately $13.5 million from convertible notes and approximately $610,000 net payments on equipment financing. Approximately $111,000 cash was received from the exercise of employee options and warrants. We have successfully utilized the ATM with minimal impact on stock price, with the successful November 11 Special Shareholder Meeting, additional funding in the form of a $50 million equity line of credit and a $10 million convertible note will soon be available.
Jesse Fittipaldi : So last, we're going to have an update from Mark Frohnmayer. He's the Founder and Chief Vision Officer for Arcimoto.
Mark Frohnmayer : Thanks, Jesse. It's good to be back. For all of those of you who've noted my absence since the last earnings call, just want to be clear, it was the unanimous opinion of Arcimoto's Board that after 15 years in the driver seat, I desperately needed a break to recharge. I'm pleased to report that sales are back at 100%. And the fact that Jesse and the executive team have stepped up to drive the daily execution of the venture, this allows me to focus on where I actually add the most value to Arcimoto, critical projects and design, technology and strategic initiatives to drive the growth of the venture, specifically in the near term, that means a laser focus on initiatives to drive down costs and increase volume of the FUV platform. It is an interesting coincidence that this call is happening at the same time as yet another global conference on climate change, where once again, it is noted that we are not moving fast enough to address the climate crisis in front of us. This is the why of Arcimoto. It is not sufficient merely to electrify our existing ideas of transportation or simply are not the raw materials available to electrify the fleet to drive down emissions to where they must go. Put simply, the future demands, rightsized mobility, that is what Arcimoto has been working on since its inception, 15 years ago, the platforms that we have today that are the world's finest in terms of daily utility, environmental efficiency, affordability and pure joy. And that our customers absolutely love the products that we build, give us great confidence in the road ahead. I just want to finally say to all of our stakeholders out there just how deeply grateful we are for your ongoing support, whether you have been with us from the early days, as we iterated over eight generations to find the winning platform for daily mobility, joined us at our IPO in order to build out our first factory. Or more recently, during the wild ride of the pandemic and ensuing challenges in the supply chain as well as capital market bedlam. It is the steadfastness of our stakeholders that has allowed us to dedicate our waking lives to the achievement of this mission. You have my deepest gratitude, and I want you to know that we are committed to seeing this ride through to the end.
Jesse Fittipaldi : How's everybody doing? Hey, Jeff. All right. Good job, team. Great job this quarter. You guys -- everyone performed so well. It was inspiring to see that and talk to and share that. Jeff, do you have -- you have some questions for us, I'm sure.
Q - Jeffrey Campbell : Well, I'll alter them a little bit because we've got a bit of an update on the mainline machine. Really, what I'm kind of thinking about is it looks like there's sort of a four-pronged attack right now. There's renting the FUV. There's selling the FUV. There's the Deliverator, which is more, I think, a commercial vehicle, fleet vehicle. And then there's the rentals. And obviously, the revenues generated aren't all the same, but they seem to all have important pieces of mindshare at this time. So I guess what I'm really thinking about is in the longer term, let's say, just over the course 2023, what are we thinking this -- the primary focus, trying to get more and more Deliverator sold into fleets and maybe creating a unique niche and last mile delivery because the Deliverator can carry a lot more stuff than an Uber bag on somebody's back. But on the other hand, it's maybe not as much as some kind of electric van or what have you. Or just trying to get the price of the FUV down and sell the FUV to one more consumer. Or maybe both, just kind of trying to pull all that together for 2023?
Jesse Fittipaldi : Yes, that's actually -- that is a plan for both. So as we're seeing traction on the consumer side that Lynn's team has been creating, we're seeing that likely able to stabilized production and carry us through the first couple of quarters of next year. So we're seeing good trends there, and we want to keep building that out. And then supporting those later in the year, getting the Deliverator out and the volumes that we think are -- that campaign is going to take on, right? Those are larger fleet orders. They take longer time to get through the sales process. And so that's -- we've positioned both of those things. And they need -- the Deliverator needs cost down and it needs some changes that Dwayne's team is working on. We've heard through the pilots what the product needs is improvement. That takes a little bit of time to get through. And while we're holding for that, we're delivering vehicles every day to customers all over the U.S.
Jeffrey Campbell : And I guess just kind of a follow-up on the Deliverator. It seemed like I remember that the trial that's in New York City, they required that there had to be some kind of covering on the vehicle to be able to do it. So just kind of wondered what exactly are we doing right now? Is it like some kind of little vinyl thing you snap on or what's in the current use and maybe what's short of full weatherization or something? I mean what's kind of the next step?
Jesse Fittipaldi : Dwayne, you want to tackle that one, talk about what you guys are working on?
Dwayne Lum : Sure. If you're referring to enclosure class, Jeff, that's something a little bit different than this current instantiation of the product. But one of the things that we've heard consistently is actually the access in and out of the FUV as it is right now in the Deliverator configuration is quite good. It allows for both road exit or curbside exit and as well as entry. So that's actually something quite positive. Coverings are -- I'm not sure what you might have heard in the past regarding enclosure classes, but that's something a little bit different than what we're currently doing with the Deliverator at the moment right now. There's more different variants of the Deliverator as it would maybe have been seen in other pilots that we've done.
Jesse Fittipaldi : Anything else, Jeff?
Jeffrey Campbell : No, that’s fine. This is -- I actually got here because I went into another call that was -- they were still grounding, cancelled it after four minutes and didn’t take any questions. So that liberated me come to a little bit happier place here at Arcimoto and glad to be here.
Jesse Fittipaldi: Thanks, Jeff. All right. Anything else from the team? How are you guys feeling?
Dwayne Lum : Pretty good.
Lynn Yeager : Feeling great. Good quarter.
Jesse Fittipaldi : How are you doing, Mark?
Mark Frohnmayer : I'm doing well. I just wanted to, Jesse, I think echo what you said in a slightly different way, which is, in terms of the performance of the team during what was actually a very difficult quarter, having to implement the strategic restructuring and at the same time, deliver on really impressively accelerating sales and deliveries. I just wanted to say to the execs, thank you for doing the hard work, particularly in the time that I've been away from the experience. And I think speaking both as a stakeholder and somebody who has been on for a very long time as an operator. I just have a lot of respect for the difficulty of that work. And to me, it's just been incredibly heartening to see the consumer sales process really start to work and the work that Lynn and team have done to really hone in that funnel. I look forward to seeing what that does over the next couple of quarters. And the -- to the point, I think, Jeff, that you brought up just around consumer sales versus commercial sales, it is -- at least as I've kind of envisioned it, Arcimoto started with the consumer market because it's just -- it's a market that can be achieved for a new vehicle venture. As the company gets a real track record of vehicles on the road in terms of lots of miles, in terms of things like something as simple as resale value of used vehicles, then all of those pieces that are really necessary for a much larger commercial opportunity to manifest become possible for the company to achieve. So it's that sort of evolution of Arcimoto's customer. As the company matures, that to me is really that really exciting miracle of and of both the consumer and the commercial space and then eventually be selling to geographies and countries and so on. But I'm also just very excited by the number of projects that are presently in the works on the -- on both the consumer side and the delivery side that we -- that more will be -- more information will be forthcoming soon.
Jesse Fittipaldi : Well said, Mark. Thank you. And you set up the company well with a amazing product. So the more people that we get to see it and drive it and experience it, that's -- I mean that's just -- that's 2022, that's 2023, converting that funnel and getting more vehicles on the road. Very much looking forward to Q4 and looking forward to 2023 as we get through the ending of this storm, hopefully. Jeff, thanks for joining us, and I guess we'll call it a call.
Mark Frohnmayer : And I do want to say, again, thank you to everyone out there who have been long time supporters of this endeavor. This is obviously the quest of our lives but it is not possible without the support of our stakeholders.
Jesse Fittipaldi : All right. Have a great day, folks. See you.
Mark Frohnmayer : Thank you.